Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Eltek Ltd. 2023 Annual and Fourth Quarter Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. Before I turn the call over to Mr. Eli Yaffe, Chief Executive Officer; and Ron Freund, Chief Financial Officer, I'd like to remind you that they will be referring to forward-looking information in today's presentation and in the Q&A. By its nature, this information contains forecasts, assumptions and expectations about future outcomes, which are subject to the risks and uncertainties outlined here and discussed more fully in Eltek's public disclosure filings. These forward-looking statements are projections and reflect the current beliefs and expectations of the company. Actual events or results may differ materially. We'll also be referring to non-GAAP measures. Eltek undertakes no obligation to publicly release revisions to such forward-looking statements to reflect events or circumstances occurring subsequent to this date. I will now turn the call over to Mr. Eli Yaffe. Mr. Yaffe, please go ahead.
Eli Yaffe: Thank you. Good morning. Thank you for joining us for our 2023 annual year earnings call. Here is Ron Freund, our Chief Financial Officer. We will begin by providing you with an overview of our business and the summary of the principal factors that affected our results during 2023. After our prepared remarks, we will be happy to answer any of your questions. By now, everyone should have access to our press release, which was released earlier today. The release will also be available on our website. In 2023, the company achieved unprecedented milestone in terms of both revenue and profitability, setting new records. The company generated revenue of $46.7 million with net income of $6.4 million. EBITDA reached $8.6 million. The cash flow from operations stood at $8.9 million. Remarkably, all key profitability indicator experienced substantial growth rate underscoring the success of our strategic cost initiatives. The ongoing situation in Israel, coupled with the presidents rise in the defense budget across European nations and the trade tension between the U.S. and China continue to influence the demand of our high-end products. Since the inspection of our accelerated investment plan in 2022, our backlog had increased by 130%. The growing demand persists, and we anticipate that the trend to extend into the upcoming years. While the influence of the current conflict in Israel has not been fully manifested our backlog. We expected more pronounced impact to become evident later in the second half of 2024. We have achievably diversified our revenue streams by exploring opportunities beyond the defense and medical devices market. Our focus includes strengthening collaboration and securing substantial orders for new products with a leading customer whose machinery and technology play a crucial role in the large-scale production of semiconductor chips. Currently, effort has been underway to augment our commercial sales volume. Our approach to pricing and order acceptance remains as a key focus as we continue to optimize this strategy to achieve optimal profitability rates. We are actively progressing with execution of our accelerated investment plan. To date, we have committed to an approximately investment of $10 million, and we anticipate fulfilling orders for the entire plan by the end of 2024. In the first quarter of 2024, the machine mentioned in our December '23 press release, were received and installed and the [VFV] line is currently under commissioning stages. We additionally installed additional press, which is a significant component of the accelerated investment plan. The press is in final installation stages and the software adjustments. Furthermore, we successfully implemented cutting-edge engineering software. During Q1 2024, we plan to complete the training of our engineers. This software is a position to us at the front end of the technological advancement in this field. We have initiated the construction of new office space within our building in Petah Tikva. This move seeks to optimize office utilization, freeing up space for expanded production capacity. By doing so, we aim to seamlessly integrate new production lines without incurring additional overhead expenses for the existing infrastructure. As a result of the securities challenges in Israel and the logistical issue entering the shipment of the arrival of the supplier technical team to the country, we anticipate potential delay of the accelerated investment program. We are actively dedicating significant efforts to try to mitigate these delays. In our pursued expansion of the growth, we are actively seeking for acquired PCB manufacturing company in United States, recognize the strategic importance of the U.S. market, we anticipate substantial growth in the upcoming years. The underlying motivation behind the chips in the PCB Act to repatriate chips and PCB production to America for seeing increased demand for the domestic PCB manufacturing. Contextually, we are focused on augmenting production capacity in the U.S. In February 2024, we raised capital of $10 million before expenses. This amount will be used by us together with our existing cash balances for the purpose of financing continuous growth. I would like to take this opportunity to thanks to the investors who participated in the offering for the trust they placed in our company and its management. The successful capital raising and the fact that during 2023, we have repaid all our bank debt loan will allow us to finance a future M&A transaction -- raising debt either from the bank or from the public. I will now turn the call over to Ron Freund, our CFO, to discuss our financial results.
Ron Freund: Thank you, Eli. I would like to draw your attention to the financial statements for the year ended December 31, 2023, and for the fourth quarter of 2023. During this call, I will also discuss certain non-GAAP financial measures - EBITDA as a non-GAAP financial performance measurement. Please see our earnings release for its definition and the reasons for its use. I will now go over the highlights of 2023. All numbers mentioned are in U.S. dollars. Revenues for the year ended December 31, 2023, totaled $46.7 million compared to $39.7 million in 2022, an increase of -- The increase in revenue is mainly due to the increased demand for our products during 2023 and our continuous efforts to increase production capacity. Gross profit increased by 58%, reaching $13.1 million compared to a gross profit of $8.3 million in 2022. The increase is mainly due to the increase in revenues. Operating profit amounted to $7.3 million in 2023 compared to $3 million in 2022. In 2023, we recorded financial income of $0.4 million compared to $0.9 million in 2022. The decrease is due to the revaluation of the -- against the U.S. dollar during the fourth quarter of 2023. Net profit was $6.4 million or $1.07 per share in 2023 compared to a net profit of $3.2 million or $0.55 per share in 2022. EBITDA was $8.6 million in 2023 compared to $4.5 million in 2022. During 2023, we enjoyed positive cash flow from operating activities of $8.9 million compared to $3.8 million in 2022. As of December 31, 2023, we had cash and cash equivalents and short-term bank deposits in a total amount of $12.1 million compared to $7.4 million at the end of 2023. I will now go over to the highlights of the fourth quarter of 2023 compared to the first quarter of 2022. Revenues for the fourth quarter of 2023 were $12.3 million compared to $10.5 million in the fourth quarter of 2022. Gross profit amounted to $3.5 million compared to $2.2 million in the fourth quarter of 2022. Net profit in the fourth quarter of 2023 was $1.3 million or $0.22 per share compared to net profit of $0.8 million or $0.40 per share in the fourth quarter of 2022. During the fourth quarter of 2023, we recorded financial expense of $0.3 million due to the revideration of the NIS against the U.S. dollar. In Q4 2022, we recorded financial income in the amount of $0.1 million. The impact of this difference is $0.07 per share. EBITDA was $2.4 million in the fourth quarter of 2023 compared to EBITDA of $1.2 million in the fourth quarter of 2022. Cash flow from operating activities was $2.3 million compared to $1.3 million in the fourth quarter of 2022. We are now ready to take your questions.
Operator: [Operator Instructions] There are no questions that time. The first question is from Roy Shar. Please go ahead.
Unidentified Analyst: I think you did great this last quarter last year. I wanted to find out if you've got any take on what you expect your revenue will be for the entire 2024 as well as your gross profit margin?
Ron Freund: We expect to continue in our increased revenues during 2024. The growth trend should continue as long as we continue in our accelerated growth. And we stick to the forecast that we gave before two calls about the gross margin. We anticipate it will be around 27%.
Unidentified Analyst: Okay. But do you think that you'll hit $50 million in '24?
Ron Freund: We don't give exact forecast. We are working very hard to meet this target, but I cannot assure you this focus.
Unidentified Analyst: Okay. And one final question. Is your stock-based compensation added into your expenses?
Ron Freund: We had about $0.4 million in 2023. We expect that it will be in the same area during 2024.
Operator: [Operator Instructions] There are no further questions at this time. Before I ask Mr. Yaffe to go ahead with his closing statement, I would like to remind the participants that a replay of this call will be available tomorrow on our website.
Eli Yaffe: Before we conclude our call, I would like to thank our employees for their continued efforts to meet our strategy of growth and profitability. I would also like to thank all our customers, partners and investors for their continued support. Thank you for all -- for all for joining us on today's call. Have a good day.
Operator: This concludes the Eltek Ltd. 2023 financial results conference call. Thank you for your participation. You may go ahead and disconnect.